Operator: Good day ladies and gentlemen, and welcome to the General Electric fourth quarter 2013 earnings conference call. [Operator instructions.] I would now like to turn the program over to your host for today’s conference, Trevor Schauenberg, vice president of investor communications. Please proceed.
Trevor Schauenberg : Thank you, operator. Good morning, and welcome, everyone. We are pleased to host today’s fourth quarter and total year 2013 earnings webcast. Regarding the materials for this webcast, we issued a press release and the presentation earlier this morning. The slides are available on our website at www.ge.com/investor. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that light. For today’s webcast, we have our Chairman and CEO Jeff Immelt; and our Senior Vice President and CFO, Jeff Bornstein, and our new IR leader, Mac [Ribbons] . Now I’d like to turn it over to our Chairman and CEO, Jeff Immelt.
Jeff Immelt: Thanks, Trevor, and good morning everybody. The company had a good fourth quarter in a generally improving environment. Orders grew by 8%, and our backlog is at an all-time high at $244 billion. Growth market orders grew by 13% and the U.S. expanded by 8%, and Europe grew by 3%. So pretty broad-based growth and essentially organic growth was up 5% for the quarter. We earned $0.53 per share in the quarter, up 20%. Our industrial earnings growth was up 12%, with six of seven segments growing. Capital earned $2.5 billion, including some tax-efficient gains as we exited global platforms. And we were able to pull forward $0.05 of industrial restructuring, partially offset by $0.03 of gain, so this is more than we expected and will give us some more cost out in 2014. We continue to run the company well. Margins grew by 100 basis points in the quarter and 60 basis points for the year. This actually reflects 66 basis points before the impact of acquisitions. Our value gap was exceptionally strong and we reduced structural cost by $1.6 billion for the year. We generated $17.4 billion of CFOA in India, with $89 billion of consolidated cash. We allocated accounts in a value-creating way. We returned $18.2 billion through dividends and buyback. We completed $9 billion of M&A, primarily in oil and gas and aviation, and these businesses are delivering for investors. So overall, this was a good quarter for GE, and positions us to deliver in 2014 and beyond. Our earnings for the quarter were about $31 billion, a record. We also ended the year with a record high backlog of $244 billion. We had growth in both equipment and services. There was real strength in power and water. We ended the year with 125 orders for heavy duty gas turbines. Power gen services grew by 9%, which was actually 16% excluding Europe. And recently, our gains were broad-based. The U.S. continued to rebound, growing 8%. For the total year, orders grew by 8%, and backlog grew by $34 billion. Aviation orders reflect our record backlog for equipment, but at the same time aviation services continues to be very strong. Orders for oil and gas equipment are always lumpy, but orders year to date are up 8%, and we’re encouraged by the orders’ price performance in oil and gas. We built a big backlog in energy management, which should help in 2014. And transportation is being impacted by a weak mining market. Orders pricing was in line with our expectations. We saw pricing pressure in heavy-duty gas turbines, mainly based on regional mix. But on balance, we expect to continue to drive a positive value gap in 2014. Our growth initiatives continue to deliver results. Growth market revenue was up 10% in the quarter. Growth was pretty broad-based. Six of nine regions were up by double digits. And we continue to build out our growth market presence. For service, 6% revenue growth was the best quarterly result in 2013. Highlights include 54 advanced gas paths. Aviation spares grew by 17%. The oil and gas services grew by 17%. We launched another 14 productivity offerings in the fourth quarter. And our dollars per installed base grew by 5% in the quarter. We continue to win in the market. The Dubai Airshow resulted in $40 billion of wins. The Revolution CT is rapidly becoming the industry standard. We’re the only locomotive competitor, with both a tier four diesel and an LNG offering in test, and we continue to build out service technology in the oil and gas installed base. At our outlook meeting, we set a target of 4% to 7% organic growth for 2014. And with the huge backlog and strong growth initiatives, that looks achievable. For margins, we have a pretty good story on margins, growing 100 basis points in the quarter. We finished the year up 66 basis points on an organic basis. We had an internal plan that was well above 70 basis points, but we were impacted by supply chain quality issues [in wind] and some energy management project delays. By business, we had positive operating leverage year over year and margin expansion in six of seven businesses. Big drivers of our margin expansion were simplification and value gap. In 2013 we achieved $1.6 billion of simplification benefits and our value gap was about $900 million. In addition, we were able to do more fourth quarter restructuring, which will fortify our margin goals in 2014. One other note, we had no gains in the fourth quarter of ’13 versus some gains in the fourth quarter of ’12. So this really was solid performance. We’re getting fairly consistent margin performance across the company, and with margins expanding 110 basis points in the second half, we really feel like we have good momentum going into 2014. So on to 2014. We plan to grow margins in 2014 in line with our goal to exceed 17% by 2016. And we pulled forward more restructuring in ’13 than we originally planned. In the fourth quarter of ’13, we executed $0.05 per share of projects that have an 18-month payback. This was partially offset by $0.03 of gains. We finished 2013 with $1.6 billion of structural cost out. Because of our fourth quarter restructuring, we’re increasing our cost out goals for 2014. At the outlook meeting, we said we would achieve about $1 billion of cost out. We’re now targeting to get more than $1 billion. And we expect our SG&A as a percentage of revenue to be about 14% in ’14. Key margin drivers will again be value gap and simplification. We expect R&D to be better and mix will be negative as our product sales are growing faster than service. But our margin plans have been fortified, and this should be a tailwind for GE going into 2014. Look, we ended the quarter with significant balance sheet strength. Our total CFOA was about $17.5 billion for the year, consistent with expectations. We had a good quarter in capital efficiency and working capital. On the GE Capital side, we have substantial liquidity. Our commercial paper fell below $30 billion for the first time in many, many years. And we ended the year with $89 billion of consolidated cash and about $14 billion at the parent. We’re implementing our plans of value creation and opportunistic and balanced capital allocation. In 2013, we returned $18.2 billion to investors through dividends and buyback. And we announced a 16% increase in our dividend at year-end. And like I said earlier, we completed $9 billion of acquisitions. As I said at the outlook meeting, we plan to work capital efficiency hard in 2014, and our capital allocation will create value for our investors. So with that, let me turn it over to Jeff to talk about the operations and performance of the businesses.
Jeff Bornstein : Great, thank you. So I’ll start with consolidated results. We had continuing operations revenue of $40.4 billion, reported up 3% in the quarter, industrial sales of $28.8 billion were up 6%, and GE Capital revenues were up $11.1 billion, down 5%. Operating earnings of $5.4 billion were up 16%, and operating earnings per share of $0.53 were up 20%. Continuing EPS of $0.49, which includes the impact of nonoperating pension, and net earnings per share of $0.41 includes the impact of discontinued operations, which I’ll cover on the next page. As Jeff says, total year CFOA was $14.3 billion. When you add back the $3.2 billion of NBC tax impact, you get to $17.5 billion. We had solid industrial performance this year, with the variance to 2012 driven by the NBCU related taxes, as I mentioned. We received $2 billion of dividends from GE Capital in the quarter. The GE tax rate for the quarter was 19%, which is in line with the framework we provided earlier in the year, and the total year rate was also 19%. The GE Capital tax rate was significantly negative in the fourth quarter, primarily driven by the tax efficient sale of our Swiss platform, which resulted in about $1 billion of tax benefits in the quarter. This drove a negative 77% tax rate in the quarter, and for the year GE Capital’s tax rate was a negative 14%. On the right side, you can see the segment results, with total industrial segment profit up 12% and six of seven businesses contributing to earnings growth. GE Capital earnings also grew in the quarter, up 38%. And I’ll take you through the dynamics of each of the segments on the following pages, but overall, a reasonably strong quarter. On the other items page, first we had $0.03 of gains related to industrial transactions. We disposed of air filtration within our power and water business, the Vital Signs business within healthcare, and the advanced sensors business within oil and gas. All three of these gains were booked in corporate. We had $0.05 of charges in the quarter related to restructuring and other items. This was about $0.02 higher than we had planned, as we continue to invest in restructuring to rightsize the industrial cost structure and position the company for 2014 and beyond. In discontinued operations, we had $787 million in after tax impacts in the quarter, really driven by four items. First, we booked $442 million of additional reserves on Grey Zone. While we saw claims decline in the third quarter, claims in the fourth quarter are above our model expectations. So we revised our assumption to reflect a further slowing in the overall claims reduction rate. We ended the quarter with $859 million in reserves. On WMC, pending claims declined from $6.3 billion in the third quarter to $5.6 billion at the end of the year, as the team settled about $1 billion of pending claims. That was partially offset by new pending claims of $281 million. We recorded a $116 million charge resulting in the total reserve balance at the end of the year of $800 million, and that’s flat with where we ended the third quarter. Also in the quarter we signed an agreement to sell our consumer bank in Russia, resulting in a $170 million loss in discontinued ops, principally FX-related. And we expect to complete the transaction in the first quarter, and this will lower our E&I by almost $1 billion. Lastly, we had a [unintelligible] tax adjustment related to plastics of $65 million on disallowment of interest reductions from years previous. So on an operating basis, we had $0.02 higher industrial restructuring versus gains, which was about $300 million on a pretax basis. It’s the main driver of our higher corporate expense in the quarter. Now I’ll go through each of the segments, starting with power and water. Orders of $10.3 billion were up 44%, our largest orders quarter in the last five years. Excluding Europe, orders were actually up 56%. Equipment orders of $6.4 billion were up 81%, driven by thermal and wind. Thermal orders were up three times, driven by the Algerian deal and strength in Saudi and Latin America. Excluding Algeria, thermal orders were still up over 100%. We had orders for 65 gas turbines in the fourth quarter versus 26 last year, and that brought the total year to 124 units on order. Backlog for thermal was up 70% for the year. Wind orders were up 63%. We had orders for 779 wind turbines versus 412 in the fourth quarter of ’12, principally driven by U.S. demand. And wind backlog was up 43% for the year. Service orders of $3.9 billion were up 8%, primarily driven by PGS, up 9%, and up 16% ex Europe. And we were very strong in AGPs. We did 25 AGPs in the quarter versus 6 in the previous year. Total [unintelligible] price was lower, as Jeff said, at 3%, with thermal down 4% and wind down 5%. Revenue in the quarter was $7.7 billion. That was flat with last year. Thermal revenue was down 11% as we shipped 28 gas turbines versus 32 in the fourth quarter of ’12. That was partially offset by wind up 6%, with shipment of 875 turbines versus 722 a year ago. We recognized the revenue on 200 fewer wind turbines than we had planned, primarily due to a supply chain quality issue and project delays and customer delays. The impact on the quarter was approximately $500 million of revenue, and including the reserves for the quality issues, about $100 million of margin. As we work through the quarter here, we had some blade issues in November. The team was all over it. We spent an enormous amount of time within the supply chain understanding the blade issue. We spent most of December understanding what the fleet impact would be and what the manufacturing anomalies associated with it were, and it was really not until around Christmastime that we realized that we probably weren’t going to [rev req] a lot of these turbines that potentially could have an issue with the blade. Service revenues of $3.8 billion were up 3%, up 8% ex Europe. On segment profit, $1.9 billion was up 9%, driven primarily by value gap. The power and water team has also done an exceptional job on cost, with SG&A in the quarter down 18% and down 13% for the year. Margins improved 190 basis points year over year in the fourth quarter. Overall, based on 2013 orders, we’re seeing a gradual improvement in heavy duty gas turbines and wind will also have a strong year in 2014. With these higher deliveries, coupled with simplification benefits, we expect power and water to grow earnings in 2014. Based on our backlog, we do expect deliveries to ramp through the year similar to 2013. Additionally, we’re continuing to work through the blade supply issues in wind. And it could have a moderate impact on the first quarter, but it in no way changes our outlook for 2014 for the business or the wind business. Next is oil and gas. Orders of $5.5 billion were down 2%, with equipment orders down 8%. Subsea orders were down 10% and drilling and surface was down 20% on tough comparisons to last year. That was partially offset by M&C, up 8%. For the year, equipment orders were up 12% and backlog grew 27%. Service orders were up 6%, led by global service, up 8%, partially offset by M&C, down 3%. Service backlog grew 27% in services as well. Orders pricing was strong in the quarter, up 1.8%. Operations in the business had a solid quarter. Revenue for $5.3 billion was up 17%, that’s up 9% after acquisitions. Equipment revenues of $2.8 billion were higher by 16%, driven by strong execution in subsea, up 70%, drilling and service, up 20%, partially offset by M&C, down 18% on continued market softness. Service revenues of $2.5 billion were up 17% with strength in global services, up 9%, drilling and surface up 20%, and subsea up 45%. Segment profit grew 24% to $800 million, up 18% after acquisitions, driven by strong value gap and higher volume. Margins were up 80 basis points year over year, and they were up 120 basis points year over year excluding acquisitions. Next I’ll walk through aviation and healthcare. Aviation, orders of $7 billion were down 5%, driven by equipment orders down 15%. Commercial engine orders were $3.2 billion, down 12%, primarily driven by the huge ramp of CFM LEAP orders starting in the fourth quarter of ’12. CFM orders were down 23% in the quarter to $1.5 billion. GEnx orders of $1 billion were up 21%, and GE90 orders were up 43% in the quarter. Commercial engines backlog grew 28% to $21.6 billion, despite not yet booking the vast majority of the $23 billion plus of energy commitments from the Dubai Airshow. Military engine orders were down 43% as we expected, so as we look ahead into 2014 for the military business, we’re expecting profits to be down mid-single digits year over year. Service orders of $3 billion were up 11%, driven by commercial spares, up 16%, to $26 million a day. Military service orders were down 3%, driven by sequestration and lower flying hours, which are down 15% to 20% over the last 12 months. Service backlog ended the year at $97 billion, 22% higher than year-end 2012. Orders pricing was strong, with positive 1.8%. Revenue in the quarter of $6.2 billion was up 13%, up 7% ex Avio. The commercial equipment revenue was 17% higher with 627 unit deliveries versus 589 in 4Q of ’12 and a greater mix of higher value GEnx and GE90 engines. We shipped 80 GEnx engines in the quarter. The military revenues were up 16% on lower units, 239 versus 258, but the value was higher, driven by favorable mix of tankers and fighter engines. Service revenues were up 10%, driven by strong spares revenue, up 17% to $26.4 million a day. And military service was down 17%, driven in part by sequestration and the lower flying hours, in addition to the wind down of some upgrade programs. Operating profit of $1.25 billion was up 20%, up 13% ex Avio, on strong volume and value gap. Margin rates improved 130 basis points, 100 basis points ex Avio. Strong cost productivity more than offset GEnx mix and higher R&D spend, and also if you exclude the Duarte disposition from the fourth quarter of ’12, margins would have been up 310 basis points in the quarter. So overall, a very strong quarter and a strong year for the aviation team. Healthcare orders of $5.4 billion were up 1%, driven by emerging markets up 4%, with Latin America up 15% and China up 8%, partially offset by Russia, down 19%. From a developed markets perspective, the U.S. was flat, Europe was up 2%, Japan was down 10%, but actually up 11% excluding the impact of FX. Equipment orders of $3.4 billion were down 1%. CT was down 16%, MR was up 1%, ultrasound was down 2%, and molecular imaging was up 6%. Service orders of $2.1 billion were up 3%, driven by healthcare IT, up 6%. Healthcare IT growth has picked up as new product launches are gaining traction. And as Jeff said at the December outlook meeting, we expect healthcare IT to be up 10% organically in 2014. Revenue of $5.1 billion was down 1%. That’s flat excluding the effects of FX. And fourth quarter profit of $1.1 billion was up 4%, as the benefits of simplification more than offset the impact of lower price and foreign exchange. SG&A was down 13% in the quarter, and down 6% for the year. Margin rates were up 110 basis points. Excluding the impact of the Thomas Medical disposition in the fourth quarter of ’12, our profit would have been up 13%, with margins expanding 230 basis points. Next I’ll cover transportation. Orders of $1.2 billion were down 9%. Equipment orders were down 2%, and we had orders for 149 locos versus 88 in the fourth quarter of ’12. But mining orders continue to be soft, down 60%. Service orders were down 15%, driven by flat service contracts, but offset by fewer modifications and weak demand for mining parts. Revenues of $1.5 billion were up 7% year over year. Strong equipment growth of 22% was offset by service revenue down 8%, again driven by soft mining parts. Locomotive shipments were higher, with fourth quarter deliveries of 171 units compared with 117 a year ago. Operating profit of $280 million was up 11%, with margins better by 70 basis points. And the improvement was principally driven by positive value gap. In 2013, transportation executed well in a difficult environment, expanding margins 140 basis points. Looking into 2014, we expect a continuing soft mining industry with OHB shipments down 50% for the year. And the first quarter will be weaker than that, probably down closer to 80%. We expect a slow recovery for North American coal offset somewhat by strong international pipeline for locos. Performance in our energy management business has been disappointing this year. Although results were modestly better sequentially, they were still well below the business’ potential. Orders continue to be a good story, up 6% in the quarter to $2.3 billion, a record for the business. This was driven by power conversion, up 18% on strong renewables industry volume, offset partially by industrial solutions, down 6%. 2013 backlog was up 20%, with every single platform in the business being higher. Revenues were up 4%, principally driven by industrial solutions and intelligent platforms. Operating profit of $46 million was down 28%, driven by power conversion. This business has continued to deal with backlog conversion challenges and higher setup costs as they began production of our new marine platform. Over the last few years, the marine business has more than doubled its backlog, and total power conversion has grown backlog by 35%. We expect to see steady progress in power conversion throughout 2014 as their volume ramps and they focus on converting this backlog. Despite the poor performance in energy management this quarter, we do think we are making progress in our restructuring efforts and our execution issues. For instance, our industrial solutions business that we started restructuring two years ago was up 71% in op profit in the quarter. It was up 38% for the year on op profit, on almost flat volume. So more work to do here, but also some good execution within our industrial solutions business. Appliances and lighting had a good quarter, primarily driven by appliances. Overall, the appliance domestic industry was up 10% on units, with strength in both retail, up 10%, and contract, up 12%. Housing starts continue to be positive. They were up 16%, with single family better by 13% and multifamily up 22%. Revenues of $2.2 billion were higher by 6%, led by a 9% increase in appliances. Lighting revenues were up 1%, with strong global LED sales, which were up 50%, offset by continued decline in our incandescent product lines. Segment profit of $142 million was up 23%. Appliances op profit was up 51%, driven by positive value gap and productivity, and lighting op profit was higher by 5%. Margins improved 90 basis points in the quarter for the segment. Next I’m going to go through GE Capital. Before I go through the standard operating page, I thought I’d take you through a layout of some of the major items in the quarter, similar to the way Keith did it in the November meeting. So if you start on the left here, GE Capital earned $2.5 billion, up 38% from a year ago. On the right side, you can see we had $1.6 billion of tax benefits and gains from the Switzerland and the BAY transactions as we discussed. We sold 68.5% share in the Swiss consumer bank via an IPO, resulting in $1.2 billion of tax benefits and gains. In addition, we completed the sale of our remaining stake in Bay Bank, resulting in a $400 million gain. As the team continues to reposition the portfolio, we did have $1 billion of charges related to dispositions and restructuring of noncore consumer and real estate assets as well as impairments in CLL and GECAS. And I’ll cover some of the principal drivers here. In the consumer segment, we exited $700 million of mortgage assets in the Netherlands at a loss of $75 million. And we recorded an impairment charge of $90 million on an investment in a Taiwanese bank that positions us to exit that noncore asset in 2014. In real estate, we had a $75 million charge related to the sell down of the equity book in our Swedish portfolio. In CLL, we recorded an after-tax impairment of $290 million related to two specific investments as well as a small writedown in our corporate asset book. And in GECAS, we recorded impairments of $270 million, primarily related to certain older aircraft types that are more susceptible to changes in technology and operator preferences, which reduces our exposure to these less desirable assets and creates additional portfolio flexibility. And I’ll cover more of these items as I go through each of the segments on the following page. Finally, we had adjustments to reserving models, primarily in North America retail finance and consumer international, resulting in $200 million in higher after-tax credit costs in the quarter. In retail, we increased our loss reserve coverage in 12 months to 12.5 months of forecasted chargeoffs. And after adjusting for all these items, GE Capital’s net income in the quarter was $2.1 billion. Now to cover operations in the segments, revenue of $11.1 billion was down 5%, with assets down 4% or $22 billion year over year. Net income of $2.5 billion was up 38% from prior year as the tax benefits and gains, as I mentioned, from the Swiss and BAY transactions, more than offset portfolio actions, higher losses and impairments, and lower assets. We ended the quarter with $380 billion of ENI. That’s down $36 billion or 9% from last year, and down $3 billion sequentially. Noncore ENI was down 22% to $53 billion. Net interest margins in the quarter increased 16 basis points to 5%, and flat with the third quarter. Volume was up 5% in the quarter, with new business ROIs over 2%, as we continue to stay disciplined on pricing and risk hurdles. Tier one common on a Basel I basis improved by 10 basis points sequentially and 120 basis points year over year to 11.4%, driven by the reduction in assets and after paying $2 billion of dividends in the quarter. For total year 2013, GE Capital paid $6 billion in dividends at the parent and will pay an additional $130 million in the first quarter to reflect the higher fourth quarter earnings. On the right side of the page, asset quality trends continue to be strong, with delinquency rates improving across the portfolio. We ended the quarter with $29 billion of commercial paper, ahead of our plans, and liquidity was very strong, ending the quarter at $75 billion. Now I’ll walk through each of the segments. The commercial lending and leasing business ended the fourth quarter with $74 billion of assets - that’s down 4% from last year - including a reduction in noncore assets of $3 billion. On book core volume was $13 billion, down 8%, due to the elevated level of customer activity we saw last year from the U.S. fiscal cliff concerns. But we did see strong volume growth in the U.S. direct mid-market businesses, which were up 32% in the quarter versus 2012. Overall, new business returns remained attractive at about 2% ROIs, despite continued excess liquidity. These are positive growth indicators as we think about our core CLL business going into next year. Earnings of $263 million were down 52%, driven by lower assets and impairments. After adjusting for impairments that I covered on the prior page, earnings would have been up 1% with assets down 4%. Asset quality was stable in the portfolio. In 2013, the CLL business earned $2 billion, and going into ’14, we expect it to be up double digits. The consumer segment ended the quarter with $132 billion of assets. That’s down 4% from last year. The Swiss and BAY deals we exited reduced assets by $5 billion. Net income of $2.1 billion was up almost three times, again driven by these two transactions, partially offset by higher credit costs and charges related to the portfolio actions that I talked about on the prior page. North American retail finance earned $466 million in the fourth quarter - that’s down 2% - as higher core net income was offset by reserve adjustments and continued marketing investments. Asset growth in the business was strong at 10%, driven by volume up 11%. Overall, consumer asset quality remained stable. Real estate had another decent quarter. Assets ended the quarter at $39 billion. That’s down 16%, down $1 billion sequentially. The equity book is down 32% from a year ago to $14 billion. Net income of $128 million was down 59% versus 2012, but in line with where we expected them to be. That was driven by nonrepeat of last year’s gain from the sale of our business properties portfolio of about $82 million and our Sweden equity sell down, at about $75 million. In the quarter we sold 341 properties with a book value of about $2.4 billion for $145 million in gains. The debt business earned over $100 million in the quarter and originated $4.7 billion of volume at attractive returns, including the purchase of a $1.8 billion U.K. portfolio from Deutsche Postbank. Asset quality continues to improve, with 30-day delinquencies at 124 basis points. And that’s the lowest level we’ve seen since the crisis. The real estate team earned $1.7 billion in 2013, and continues to execute well as they shrink the equity book and invest in a profitable debt business. In ’14, we expect the business to have lower earnings, as we’ve shared with you, with the debt business performing well, offset by lower gains and tax benefits. Within the verticals, GECAS earned $71 million. That’s down 79%, driven by impairments of $270 million, which were up roughly $230 million from prior year. As I mentioned on the prior page, we revised our expectations for certain older aircraft types in our portfolio. We lowered our estimate of future cash flows on these aircraft to reflect a shorter useful life and lower residual values. As a result, we had impairments related to old and narrow bodies of about $130 million, cargo aircraft of $50 million, and $32 million on 50-seat regional jets. The average age of the aircraft we impaired in the quarter was 15 years compared to our fleet average of about 7 years. GECAS did end the quarter with zero delinquencies and no aircraft on the ground. For the total year 2013, GECAS earned $900 million, and in ’14 we expect them to be up double digits. EFS earnings were up 95 in the quarter to $117 million, driven largely by lower margin impairments year over year. We had several large items in the quarter. As we continue to reposition the portfolio, the capital team continues to execute well and deliver strong operating results. In ’13, the business earned $8.3 billion, up 12%, on $36 billion lower E&I. Capital liquidity and funding are all very strong and we continue to be disciplined around the volume that we’re originating. In ’14, we expect GE Capital to earn roughly $7 billion on core growth, offset by lower gains, tax benefits, and the impact of our anticipated retail finance IPO. So with that, I’ll turn it back to Jeff.
Jeff Immelt : Great, Jeff. Thanks. Again, just to recap on ’13, we had a good year in ’13. Industrially, our segment profits grew by 12% in the second half and then we had five of seven segments that had strong growth for the year. We grew margins by 66 basis points organically, close to our 70 basis point goal. Organic growth was flat but up 5% ex power and water. Capital had a solid year, with earnings up 12% while shrinking E&I by 9%. And they paid a dividend of $6 billion to the parent. Per our plan, we returned $18.2 billion of cash to investors through dividends and buybacks. So we hit really most of our goals for 2013. And then looking forward, on the 2014 framework, we have no change for the 2014 operating framework. We expect double digit industrial earnings growth similar to the second half of ’13. We expect 4% to 7% organic growth with expanded margins. GE Capital has about $7 billion of earnings, reflecting an improving origination environment, the North American retail transaction, and lower real estate gains. Corporate should be slightly more positive as we pulled forward restructuring into 2013. And there’s no change in our outlook for cash or revenue. So we end the year with momentum. I think we presented this framework to you in December, and I would say, based on the way we closed the year, we’re quite confident in this operating framework for 2014. So we feel good about the momentum of the company. So Trevor, with that, let’s turn it back to you and take some questions.
Trevor Schauenberg : Great. Thanks, Jeff and Jeff. Operator, let’s open up the phone lines for questions.
Operator: [Operator instructions.] Our first question comes from the line of Scott Davis from Barclays.
Scott Davis - Barclays : Early in the call, Jeff, you mentioned having greater confidence in the structural cost out. Can you talk about your confidence in value gap? Price looked a little light, particularly in power and water. Do you have a greater confidence in value gap in 2014, or the same? Or lower?
Jeff Immelt : What I would say is the value gap was about $900 million in ’13. Our expectation is that it’s not that strong. It’s probably more in the couple hundred million dollar range. When we look at the backlog and where we’ve gone from a sourcing standpoint, we feel confident in the value gap still being a tailwind in 2014. If you just go a layer lower and you look at gas turbine equipment margin, operating profit, it’s going to be positive in ’14 versus ’13. So that’s the one that’s probably had the most intense pricing pressure. But we’ve had a very active plan to get about 10% of the costs out of our heavy duty gas turbine product. And that’s going to bleed through. So just to pick the one where we’ve had the most intense competition, we see positive earnings growth year over year in ’14 versus ’13 on heavy duty gas turbine operating profit dollars.
Scott Davis - Barclays : And then energy management continues to be a bit of a tough spot. Where can that business go? Can it ever be a double digit margin business? Is there an end game? Just trying to figure out what we can expect out of these guys.
Jeff Immelt : I think it’s a very fair question. I think what Jeff said earlier is we’re going to do a lot of restructuring this year. Every time we sit and review the business, we compare it directly with their industrial peers, all of whom have double digit operating profit rates. That’s our expectation for this business. And investors, and me, should expect substantial improvement in 2014 versus 2013.
Operator: And then the next question will come from the line of Steve Tusa of JPMorgan.
Steve Tusa - JPMorgan Chase : You guys in the last several quarters have given the year over year change in services margins. I didn’t see it in the slides. Can you maybe just give a little extra color on that, year over year?
Jeff Bornstein : Service margins year over year were up 190 basis points fourth quarter to fourth quarter. Total year, we were up about 90 basis points, full year ’13 versus ’12.
Steve Tusa - JPMorgan Chase : And then just a couple of followups. On the oil and gas side, what’s your visibility on the orders there? There’s just been a lot of moving parts and mix dynamics at your peers. And the orders have obviously run very hot. Everybody is kind of full from a capacity perspective. How do you see the orders in drilling and surface and subsea playing out over the next year?
Jeff Immelt : There was one big order for these guys that pushed probably into the first quarter that’s big enough to be a meaningful swinger year over year that should lead to a positive first quarter from an orders standpoint. But to your point, particularly in subsea, we’ve got a strong backlog, pretty high visibility, and so as you know these things are lumpy. So our expectation is that these guys continue to have good, solid orders growth next year, but a push of one big project is meaningful from an orders standpoint.
Steve Tusa - JPMorgan Chase : And then just on the distributed power, the aeroderiv shipments I think you had a target this year for 200 something. What do you expect for next year? And where did you finish this year on the aeroderivs?
Jeff Bornstein : On aeroderivatives next year, we’re going to be more or less in the range of this year. We expect to see potentially a little bit of growth, but it’s not going to be enormous growth. We had a big year this year on aeroderivatives, particularly trailer mounted, so we’re hoping for a small amount of growth. But it’s not going to be enormous.
Jeff Immelt : We had a boomer this year, and I think next year we’re kind of in the flattish range.
Steve Tusa - JPMorgan Chase : And I don’t want to get all choked up, but thanks to Trevor for all the years of help and best of luck in his new role.
Trevor Schauenberg : I’ll miss you too, Steve. [laughter]
Steve Tusa - JPMorgan Chase : Not sure about that, but we’ll talk after. [laughter]
Operator: Your next question will come from the line of Andrew Obin of Bank of America Merrill Lynch.
Andrew Obin - Bank of America Merrill Lynch : As I look at the composition of the margins, on slide six, various puts and takes, what is the big drag in 2014 versus the 66 basis points that we did in 2013, just thinking about it?
Jeff Immelt : Why don’t I start and then I’ll turn it over to Jeff. I think the way we’ve tried to build 2014 is to drive the things we can really control in the environment. So we’re going to have another year that’s going to be very aggressive on the structural cost out. And you guys saw us do well this year. We’re going to have another year of real focus there. We’re going to have a positive value gap, not as strong as we had this year, but still positive. And I think that’s realistic. So I think simplification is in our control, value gap, we’ve got pretty good visibility. That’s going to be positive. I think R&D we were able to do a little bit more R&D this year. I think that creates a little bit more headroom for us to make sure that R&D is a positive next year for us. And then the toughest thing always to call here is mix, in terms of where. So what we’ve tried to do is create a buffer with the things we can control to be able to better balance the mix impact as we go through the year. So we’re not taking our focus off anything. If anything, our structural cost is going to be aggressive. Our restructuring is going to be aggressive. And what we’ve tried to do is create a little bit of buffer vis-à-vis how mix shakes out in the year.
Jeff Bornstein : I would just add, on mix, we think equipment is going to be ahead of service next year. And we’ve got a real ramp in GEnx, we’ve got a real ramp in wind. And that’s most of what that mix is driving.
Andrew Obin - Bank of America Merrill Lynch : And maybe I missed it, but could you just comment on the order patterns in December? Any big positive or negative surprises versus your expectations other than what happened in wind, obviously?
Jeff Immelt : In orders, I think power and water was a little bit stronger. We expected a strong fourth quarter, but it was probably even a little bit stronger than what we thought. I think oil and gas, like I said, tends to be a little bit lumpy. Aviation, we’ve got such a big backlog in aviation. I would say the spares number and the service orders are what we watch closely in aviation. I think those were positive. Healthcare really no difference in terms of what we thought we were going to see. And I’d say in transportation we just saw weakness around mining, and we expect that to play over into next year. And then the one thing that was really very late-breaking…
Jeff Bornstein : We had one big oil and gas project in Southeast Asia, almost $700 million, that we were reasonably confident was going to land in the quarter that actually pushed to the first half of next year. Other than that, not a lot of major surprise. As Jeff said, parts and aviation were strong. We expected them to be strong. We knew aviation year over year, based on the CFM launch in the fourth quarter last year, was going to show a little weaker. So I think most everything else was more or less as expected.
Jeff Immelt : And wind was really not an orders issue.
Jeff Bornstein : No, we had good wind orders.
Operator: Your next question will come from the line of Steve Winoker of Sanford Bernstein.
Steve Winoker - Sanford Bernstein : I’d like to push that oil and gas question a little bit further. You know, the majors in [petrograph] have all stopped expanding capex. They’ve got numerous projects that are being deferred, [giving cost blowouts], and that’s likely leading to a decline in subsea equipment, at least as we see it, as customers digest their prior orders here. And then we’ve got nominally high crude prices despite that cost inflation that seems to be eroding some of these returns offshore for these guys. So just maybe help us understand this in a little more depth, how you’re going to buck some of that trend. Or do you just disagree with my assertions there?
Jeff Immelt : Again, I would say that if you look at most of the big industry contextual comments, even with some of the concern about capex costs and things like that, the forecast is for capex to be positive growth in 2014. Maybe not as great as it was in years gone by, but still pretty great. If you look at the national oil companies versus the integrated oil companies, our view is that the NOCs really haven’t backed off at all. And that’s where we see a ton of activity. I’d say the place that we still think is reasonably weak is maybe around North America, some of the drilling and surface stuff. We’re kind of watching that. And then measurement and control stuff, we’re watching that. But the last thing I would say, you know, when I get up in the morning, around oil and gas, if you asked me what I worry about first, it’s shipping our late backlog, you know? In other words, we have such a traffic jam around the volume we’ve got in our factories. I’d say we’ve got extremely good visibility, certainly in the short term. You know, again, it’s something we all watch, but I think there’s always going to be big puts and takes in this business. But I’d leave you the thought of NOCs versus IOCs, the backlog we have today, and getting it executed, and a long term notion that says, if you pick up any of the big reports that your banks tend to write, you know, they basically say that the long term health of the industry is still pretty strong.
Steve Winoker - Sanford Bernstein : Yeah, we’re not a bank, but I get it. And that’s helpful. Now, since you mentioned what you think about first thing in the morning, the blade issue for wind, can you identify a little bit more why we shouldn’t have to worry about this happening again, from just an operational standpoint?
Jeff Immelt : I think this is stuff that comes out of the supply chain. We look at it, we’ve been looking at it for a period of time. I think our teams really feel like we’ve got it isolated and reflected. We’ve got teams that are good at this stuff, and I think we know kind of exactly where we are. It may impact a little bit timing, but our read is it’s not going to impact the year at all from the standpoint of either power and water or the power and water segment growth that we’ve got planned for the year, or the wind business revenue growth for the year. So we’re good at this stuff, we use an abundance of caution whenever it relates to our customers and things like that, and I think that’s what we’ve exercised here.
Jeff Bornstein : I was just going to add, the population we think we’re talking about, it’s one manufacturing batch of blades that we think we’ve isolated it to when we’re doing instructions on nondestructive testing, etc. So the percentage of the fleet we’re talking about is very, very small. And so we’re just trying to isolate this down, and we wanted to be very careful at year-end about how we dealt with it. And we think we’ve got our arms around the issue, and as Jeff said, it will play out here in the first quarter or second quarter of ’14.
Steve Winoker - Sanford Bernstein : And the $1.6 billion provision number in GE Capital was bigger than I expected, trending from, what, 821 or something last quarter and then bigger last year. And it looks like, as you said, the 30-day delinquencies are getting better. So is this all credit model changes? And do you expect it to stay elevated? Or how should we think about modeling this or anticipate it?
Jeff Bornstein : It might help if I kind of explain how it moved. Year over year, last year we were at about $1.1 billion, about a $230 million increase in consumer. Now, almost half that increase is associated with selling that Dutch mortgage business in the quarter. Part of the economics of the loss in that actually ran through the provision and then directly to writeoffs. So that, year over year, skews half of it. And then I mentioned booking up coverage in the North American retail business from 12 to 12.5 months. And then we had a book up on some restructured consumer accounts in Asia year over year. That’s the bulk of it. On the commercial side, we’re up 175 year over year in provisions, about half of that in real estate and half of that in CLL. And some of that was specific reserves around a couple of accounts, but some of it was just hitting reserve floors. So we’ve said we’re not going to go below certain levels of reserve coverage. The portfolio quality of both real estate and CLL would naturally push us below those floors, because things have improved so quickly. And we’re kind of booking back to those floors, which is not going to go through there, and that’s resulting in reprovisioning up with not necessarily direct correlation to what’s happening for me from a portfolio and quality perspective. And that’s most of the change year over year.
Steve Winoker - Sanford Bernstein : And before I hand it off, I might have missed this, did you guys say what the equivalent to that 66 basis point number would be in your rough expectations for this year, when you put it all together?
Jeff Bornstein : No, we didn’t say.
Jeff Immelt : Nice try, Steve. [laughter]
Jeff Bornstein : You know, we’ve talked about by the end of 2016 being at 17% plus operating margins, and that’s how we’re defining success, and that’s what we’re targeting.
Operator: Your next question will come from the line of Deane Dray of Citi Research.
Deane Dray - Citi Research : Just to follow up on Steve’s question, on the 66 margin year over year, could you help bridge where you came short on the 70 basis point target? I know the blade issue you size at $100 million on the margin line, but you also included energy management as one of the margin pressures. So if you could just bridge for us those two items?
Jeff Bornstein : The wind issue in power would have been diluted to the rate that they printed in the quarter, but it would have been accretive to the overall industrial segment. So that’s a couple of basis points on the total year rate. And combined with energy management, if they had delivered the framework that we expected them to deliver on, we would have been above 71 or 72 basis points for the year. So we’re counting basis points here. The difference between 66 and 70 at this level is $40 million of profit for the year. So we’re really counting small increments here. But ex those two items, we would have been above 70 basis points.
Deane Dray - Citi Research : Good, that’s exactly what I was looking for. And then just a couple of other items. The commercial spares being up 16%, that’s well above global flying hours. What do you attribute the upside to? Is there a restocking going on? Is it easier comp? That looks above expectations.
Jeff Bornstein : A couple of things. Flying hours are improving pretty dramatically. We’ve been globally north of 5%, and that has a dramatic impact. You also have a little bit of restocking going on. The orders rate is improving, partly because airlines have cut back on the level of inventory they were carrying on spare parts in 2012. And then the fleet has continued to grow, and the fleet is aging, and we’re seeing more instances of overhauls. So the overhaul rate, if you will, on the installed base, is going up. And that’s driving demand for spare parts. So I think it all fits together.
Deane Dray - Citi Research : And just last question from me, I know you’ve had uncovered restructuring in the quarter here. What’s the expectations for uncovered restructuring? You said $0.10 for 2014. And then specifically, do you have a line of sight on uncovered restructuring in the first quarter?
Jeff Bornstein : I think what we said was we expected to invest $1 billion to $1.5 billion in ’14. We did, as Jeff mentioned, end up accelerating a little bit of that investment into the fourth quarter, largely because the projects were ready to go and we didn’t want to wait to start on execution on those items. Overall, that’s money that would have been spent in ’14 that won’t now, but I still think our range is $1 billion to $1.5 billion. I think there will be other ideas. We talked about doing some restructuring in ’15. So I’m not sure that range is really changing much. I would expect the benefits, as Jeff said, would be slightly better in ’14 than they otherwise would have been, because we got a little bit of a head start.
Jeff Immelt : I think that’s the way I’d think about it. We’ve really fortified the benefits in ’14, and those should be greater.
Jeff Bornstein : In terms of the timing on the restructuring, earlier is better than later, and I would expect the bulk of this to happen in the first quarter or certainly the first half of the year.
Operator: And your next question will come from the line of Jeff Sprague of Vertical Research.
Jeff Sprague - Vertical Research : Just on GECAS, did you change the useful life on 737s at all? And if not, why not?
Jeff Bornstein : Here’s what we did. We go through this annual review, you’re very familiar with it. In the third quarter we use third-party data on useful life, residential values, lease rates, etc. We always have some cleanup in the fourth quarter. It usually doesn’t amount to much. This year, coming out of the third quarter, the team took a deeper dive on some of our older aircraft, principally narrow body. We’re in a situation now where you’ve got an enormous amount of technology being introduced over the next five to ten years. When you get to this level of oil and jet [A] price, the differences in efficiency economically are enormous versus what they might have been historically. And we just decided on both older narrow body Boeing and older narrow body Airbus, that our views of useful lives and residential values were less than what third parties had given us as appraisals in the third quarter. And it gives us flexibility to deal with these aircraft, and we think we’re on the right side. We’ll be in the market with some of these aircraft in 2014, and we’ll have an idea of just where we are vis-à-vis the portfolio.
Jeff Sprague - Vertical Research : Yeah, I just understand, like you’d obviously marked down the older ones first, but if a 37 used to have a useful life of 40 years, and now you’re using 35 - I’m just making up numbers - that actually impacts the whole fleet, regardless of how old the aircraft are in the book. They all come down.
Jeff Bornstein : This is very specific to 50-seat regional jets, the average age was 15 years, to Airbus A318s, very old 737s. Some of the 737s were in cargo format. Etc., etc. So it’s very much narrow body and deep into their lives aircraft. So I don’t think there’s a broader implication across the fleet. I think we like the fleet we have. It’s got an average age of 7 years, it’s priced well.
Jeff Sprague - Vertical Research : And just on tax in GE Capital, do you need to start off the year accruing higher because the subpart F has not yet kind of been fixed? How do we actually think about that into the new year?
Jeff Bornstein : Given our year-end, our fiscal year-end, within GE Capital, etc., the impact for us is really not until the very end of the year. We’re good through the end of November. So the rate we accrue through the year will reflect the fact that we’re in good shape relative to AFE through November and then we’ll assume that in December AFE may not be there, and that’s the rate we’ll accrue to.
Jeff Sprague - Vertical Research : So for a placeholder then, for 2014, what kind of rate should we be using for Capital?
Jeff Bornstein : We expect Capital will be single digit tax rate.
Jeff Sprague - Vertical Research : And then just one other one from me. Just kind of back to the margin question, and kind of less the bridge from 66 to 70, but more kind of the bridge from, you know, at the beginning of the year, I think, you saw line of sight as something like 120 or 130, which was giving you confidence in the 70. Obviously revenues came in a little lighter. There’s a couple of things that are identifiable in what you’ve put in front of us. But is there anything else that we should be thinking about there that was a problem in ’13 that doesn’t repeat in ’14, and along those lines, can you give us an idea of what kind of hedge is in that implicit 40 or so that we’re looking for for ’14?
Jeff Immelt : The one thing I would say is that R&D, with the way the funding ran for aviation, and I would say oil and gas, R&D was a little heavier in ’13 than I had expected. And again, this is in our control. We’re reasonably confident that R&D is going to be tailwind in ’14 versus ’13. So other than that, I think it’s all the puts and takes around mix. But I think we’re pretty confident on that.
Jeff Sprague - Vertical Research : And is there a way to frame kind of an internal hedge on 2014?
Jeff Immelt : I think we’ve got some momentum now, right? So you’ve got a pretty good framework, a pretty good flow, and I think that’s going to carry us over into 2014.
Operator: Your next question will come from the line of John Inch of Deutsche Bank.
John Inch - Deutsche Bank : Jeff Bornstein, just want to go back to your comments around the fact that you think the bulk of the kind of range of restructuring, the negative restructuring, is sort of first half. Should we just, by inference then, be expecting… Because GE obviously traditionally kind of has the first three quarters and then you have typically a pretty big fourth quarter. Should we be expecting then kind of a down EPS first and second quarters, or first half versus 2013?
Jeff Bornstein : We don’t give guidance at that level. I think you’re correct in assuming that the bulk of what we will invest in simplification next year will be in the first quarter, first half. But we don’t give quarterly earnings guidance.
John Inch - Deutsche Bank : I understand that. So I’m not looking for specifics. I’m not off-base in my thinking right? Or is there something else that we should think about, sort of the first half?
Jeff Immelt : I wouldn’t read into it so much. I don’t think there’s a specific profile. And we expect a number of our businesses to be able to come out of the year and perform well in the first quarter.
Jeff Bornstein : I’ll give you this much. I think we certainly expect industrial segment earnings to grow in the first half. That’s about as much as I can give you. But we’re not giving quarterly guidance.
John Inch - Deutsche Bank : No, I understand. That’s helpful. And I want to ask you about the simplification. So we sold the three industrial businesses in the quarter. Jeff Bornstein, as you’ve kind of gotten into this with your team, how would you kind of frame the outlook for cleanup within the industrial segments? I’m not talking about maybe larger scale portfolio simplification down the road. Or just what have you been uncovering, and how that maybe dovetails into some of the restructuring that you guys have been taking in your outlook there?
Jeff Bornstein : Well, I think we’ll continue to prune the portfolio where it makes sense. And you know, there will be more transactions in 2014. I don’t know that there will be, certainly excluding NBCU, the same order of magnitude economically as there was in ’13. This is an ongoing process, and the businesses are going to continue to go through their portfolio, and we’ll continue to clean up where it doesn’t make sense, or where we’re not willing to invest, or we don’t see the growth there. So that process will continue as we move through 2014.
John Inch - Deutsche Bank : Maybe one last one for me. Just on the echo oil and gas, on the drilling side, the land-based side, there’s a fairly widely held view that WTI prices, or certainly U.S. oil prices, could be actually heading lower. One, I’m wondering have you seen any of this kind of reflected in Lufkin’s backlog, your recent acquisition, just because the prices of the oilfield service companies, their share prices are down? And how do you guys maybe think about that, because obviously you’re building a long term business? Does this present opportunities actually for M&A, if in fact some of the public company share prices were well off? You could continue to consolidate some of these properties.
Jeff Immelt : When I look globally and in the various segments in the oil and gas business, kind of the drilling piece in North America probably has been the weakest as time goes on. And if we see opportunities to do more work there, we’re certainly going to do it, because we think over the long term that’s still a good place for us.
Operator: [Operator instructions.] Your next question will come from the line of Joe Ritchie with Goldman Sachs.
Joe Ritchie - Goldman Sachs : Quick question on organic growth. You’re exiting the year with a good clip at 5%, orders were up 8% year to date. But you take a look at your guidance for 2013, it looks like organic growth ended negative, your guidance was closer to 2. So my question is really around, as you look into ’14, what kind of confidence do you have in that 4% to 7% number based on what you already have in backlog? And what are the puts and takes to those numbers to the high end versus the low end of the range?
Jeff Immelt: I don’t know, Jeff, if you went through the unit shipments year over year, we basically haven’t backlogged. You know, Joe, if you just look at that, a big win backlog, shipping more heavy duty gas turbines, the jet engine backlog, etc., etc., it kind of takes you to the 4% to 7% range.
Jeff Bornstein : The one thing thematically here, we have a couple of unique things at GE, or at least in the same company, which is the GEnx story and the wind story are fairly unique to GE. And that’s a big part of pushing the range to 4% to 7%. After that, we’re somewhere around 3% to 5%, which I don’t think is off color. I’ll give you a sense of where we expect units for 2014. Wind we think it’s going to be around 3,000 units versus 2,100 units in ’13, gas turbines somewhere between 85 and 90 versus 81 in ’13, locomotives will be between 550 and 600. That will be down slightly. Jet engines will be up, as I just said around GEnx, will be up to 2,500 units, versus about 2,378 in ’13. And as I mentioned, GEnx will be somewhere between 250 and 300, most of that growth, versus 180. Military is going to be a mix, as it relates to aviation. So that gives you a sense of kind of what we’re thinking on units. I did mention earlier in the script that we do have a few areas of softness, mining being one of them, and our locomotives business. Mining’s going to be, we expect, very soft on OHB in 2014.
Jeff Immelt : And I would say on the services side, we kind of end the year with the best philosophy we had during the year, so that’s the other piece of the equation.
Joe Ritchie - Goldman Sachs : One question on the gas turbine pricing pressure. It looks like power and water pricing has been down now for two quarters in a row. Can you just provide some color where you’re seeing that regionally? So where are you seeing most of the pricing pressure today?
Jeff Immelt: The region mix is always a relatively big swing in the gas turbine side, so there’s a couple of big deals in Saudi that have been price competitive. And it’s going to be a competitive market, I think. But we’re doing a good job on the cost side, and like I said, I think when we look out over ’14 and into the future, we still see heavy duty gas [unintelligible] equipment, operating profit dollar growth, in this time period.
Jeff Bornstein : I would just add to that, if you look at quoting activity in the space around gas turbines, the fourth quarter, definitely the level of activity has picked up. We’re up like 96% versus fourth quarter ’12, and 26 more projects quoting real time in the fourth quarter than a year ago. And the bulk of that strength has really been in the U.S., surprisingly, and China. So there’s a lot of activity here. I don’t know that we’re necessarily calling a significant turn on gas turbine, but there’s definitely the activity, and you saw the order performance with 65 units in the quarter, 124 for the year, and this quoting activity, we’re hopeful.
Joe Ritchie - Goldman Sachs : And then just one last question. You quantified the impact from the blade issue at $100 million for this quarter. Have you quantified the potential impact on the margins for ’14?
Jeff Bornstein : I think what we said was we are not anticipating this being an issue for our framework for the entirety of 2014.
Operator: Your next question will come from the line of Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer : First, a clarification, then a question. In response to John Inch’s question, or the answer to it, where you expect industrial earnings to go in the first half, was that at the segment level, or post the eliminations line, that comment?
Jeff Bornstein: I was talking about segment earnings.
Christopher Glynn - Oppenheimer : And then just looking back at how 2013 transpired, operating profit at the industrial segment level is up a little over $700 million, but we had the $900 million value gap and the significant cost out. So just wondering what pieces plug that difference.
Jeff Bornstein : If you go back to the [unintelligible] that Jeff did for the total year, we spent a bit more in R&D , which partially offset that, and then base inflation, foreign exchange, and other items, we had volume down somewhat. And we didn’t repeat the two big deals I talked about in the fourth quarter year over year, the Duarte deal in aviation and the Thomas deal in medical, which, on a year over year walk, are material differences. But we feel great about what the team is delivering around simplification and SG&A cost out. That value gap was real positive. We expect it to be positive again, not at the same levels, but we expect it to contribute to margins in ’14.
Operator: And your next question will come from the line of Shannon O’Callaghan of Nomura.
Shannon O’Callaghan - Nomura :  Real estate, the nonearnings jumped up like 6x this quarter. Can you talk about what’s going on there and where are we in terms of unrealized loss and what it means for the equity book in ’14?
Jeff Bornstein : We’re executing a reclass in the quarter between our nonearnings calculation and the traditional industry calculation of nonaccrual. And so it’s really just that. When you go through the supplemental, there’s a really detailed note that walks exactly what the tradeoff is between cash basis and cost recovery of assets deemed nonaccrual, and within nonaccrual, nonearning. And so you have a bump up in nonearning, you have a big bump down in nonaccrual, roughly $3 billion. And it walks you through the pieces of it. There’s no change whatsoever in terms of portfolio quality. It’s just how we’re characterizing between nonearning and nonaccrual, and that’s just to get us closer to an industry basis. The second is on the real estate, I think we ended the year at roughly about $2.1 billion embedded loss, which is basically flat year over year. The biggest change year over year is we’re at I think $1.1 billion roughly at the end of ’13, as the 30 Rock transaction we did in the first quarter of ’13, which was more than $1 billion pretax, bumped that up a little bit. Now having said that, we sold things throughout the year, there’s both the gains and losses, etc., and we kind of find ourselves back at $2 billion. But I think we feel great about where we are in that $14 billion portfolio, and we’ll continue to liquidate it down. And so far, anyway, we’ve outperformed the embedded loss numbers we’ve been sharing with you for the last five years.
Shannon O’Callaghan - Nomura : And then on pension, where are you going to end up for ’14 in terms of operating and nonoperating pension and funded status?
Jeff Bornstein : We ended ’13 at about 91% on the funded status. The deficit in the principal pension plan was down just under $9 billion year over year, driven by portfolio performance. We were up 14.3% in terms of the earnings on pension assets and the discount rate was up to 485 basis points. So that took the deficit down fairly substantially. In terms of pension next year, we expect pension in total, as I shared with you guys, to be down roughly $900 million next year. A significant percentage of that will be in \non-op pension. You know, the operating pension benefit will be something south of $400 million, but about in that range. We need to kind of finalize exactly where all these year-end ending points, how they’re going to play out in pension expense. So we expect to be down about $900 million in total, with a little less than 40% of that associated with operating pension.
Operator: The last question we have will come from the line of Julian Mitchell with Credit Suisse.
Julian Mitchell - Credit Suisse : I had one question in oil and gas again. Measurement and control I think was the one piece of that you had high hopes for a year ago. It fell short of those, and it sounded like you thought it would come back in ’14. And now it sounds like you’re a bit more circumspect. So maybe if you could talk a little bit about measurement and control, what are your current expectations there for this year?
Jeff Immelt : We’re kind of expecting flattish, maybe up marginally, but nothing substantial. But I think we showed you guys at the outlook meeting that we still expect strong top line and bottom line growth in oil and gas. And that’s reflective of measurement and control in the flattish range. So that’s kind of where we are. I think it’s pretty consistent with what other people in the industry say as well.
Julian Mitchell - Credit Suisse : But you don’t anticipate a large wave of downstream projects in the U.S. to push up orders there any time soon?
Jeff Immelt : We’re hopeful, but that’s not the base plan. The base plan is, I would say, kind of like that it’s bottomed and we’ll see flattish kind of growth in ’14, and we’re taking cost out and stuff like that.
Julian Mitchell - Credit Suisse : And then just within healthcare, most industrial markets and emerging markets have slowed over the last two years. Healthcare has been an exception. I guess your Q4 emerging markets growth numbers were not great, or certainly lower than what you had seen in the last 12 months. Is that anything you think to be concerned about? Is that maybe reflecting a lag versus broader economic slowdowns? Or do you think it’s a blip and healthcare in emerging markets should remain strong?
Jeff Immelt : You know, we had a real strong fourth quarter in Russia last year, and it was down substantially this year. And net of that, healthcare growth markets were still pretty good. China was a little bit slower, but not concerning. And the other growth markets were pretty good. Everybody, I just want to say thanks to Trevor. He did a great job. Fantastic. And I appreciate everybody’s acknowledgement, but Trevor, fantastic for all of us. Thanks for a great job. And welcome to Matt. And Trevor’s sprinting to the door, guys. So thanks for your great support of Trevor as well.
Trevor Schauenberg : Thank you very much, Jeff, and thank everyone else for all the fun we’ve had together the last five and a half years. And best of luck, Matt. I know you’ll love the job and do great. The replay of today’s webcast will be available this afternoon on our website. We’ll be distributing our quarterly supplemental data schedule for GE Capital later today. Our first quarter 2014 earnings webcast is on Thursday, April 17. And as always, we’ll be around to take your questions. Thanks a lot.